Operator: Good morning. My name is Lisa, and I will be your conference operator today. At this time, I would like to welcome everyone to the BJ's Wholesale Club Second Quarter Fiscal 2019 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Faten Freiha, Vice President, Investor Relations. You may begin your conference.
Faten Freiha: Thank you. Good morning everyone. We appreciate you joining BJ's Wholesale Club's second quarter fiscal 2019 earnings conference call. Chris Baldwin, Chairman and CEO; Bob Eddy, Chief Financial and Administrative Officer; and Bill Werner, Senior Vice President, Strategic Planning and Investor Relations are on the call. Chris and Bob will provide you with an overview of our results, followed by a Q&A session. Before we begin, please remember that during this call, we may make forward-looking statements within the meaning of the Federal Securities Laws. These statements are based on our current expectations and involve risks and uncertainties that could cause actual results to differ materially from our expectations described on this call and in today's press release. Please see the risk factors section of our Form 10-K filed with the SEC on March 25, 2019, for a description of those risks and uncertainties. Finally, please note that on today's call we will refer to certain non-GAAP financial measures that we believe will provide useful information for investors. The presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Please refer to today's press release posted on the Investor section of our Web site for a reconciliation of these non-GAAP financial measures to the most comparable measures prepared in accordance with GAAP. With that, I'll turn the call over to Chris.
Chris Baldwin: Good morning and thank you for joining us. Our second quarter results reflect continued progress as we transform BJ's Wholesale Club. Our performance was in line with our expectations despite challenging weather conditions earlier in the quarter. We also delivered very strong free cash flows which exceeded our internal expectations. For the quarter, we saw our merchandise comp sales of 1.6% representing a 3.6% two-year stacked comp. Sales were negatively impacted by particularly cold and rainy weather in the first half of the quarter. For context, New York and Boston had twice as many rainy days this May compared to last year. After the slow start, our performance improved significantly in June and July, and we ended the quarter on a strong note. At the same time, we managed inventory extremely well. We are pleased with our improved sales trends and are well positioned to deliver on our expectations for the full year. Adjusted EBITDA was $153 million, up 7% over last year. We continued to drive strong cash flows and we ended the quarter with funded debt at 2.9x adjusted EBITDA. Throughout our transformation, we continued to invest in capabilities that will deliver long-term growth. We remain focused on our strategic priorities. First, I'll provide an update on acquiring and retaining members. We delivered another quarter of record membership fee income, supported by increases in members, higher tier memberships, and renewals over last year. We continue to use a data-driven approach to attract new and lapsed members through both physical and digital channels. In Q2, we nearly doubled the percentage of members acquired through digital channels over last year. Digital channels are particularly important in attracting younger members, and we continue to see great opportunities in this area moving forward. As we have said before, we use various membership acquisition tools to attract new members. Over, the past three years, we have dramatically improved the quality of our membership base as we focused on paid first-year membership offers. As of today, less than 1% of total company sales come from trial members, a materially lower number than in the past. We are proud of the significant progress we have made in improving the quality of our membership base as reflected in our continued growth of membership fee income. From a renewal perspective, we continue to make progress in our Easy Renewal offering with nearly 60% of our member base enrolled in the program. In addition, our co-brand credit card remains a very powerful tool for delivering value and engaging members as we continue to see solid growth there. This group consists of our most loyal members with the strongest renewal rates and highest life-time value. Our performance in this area has accelerated significantly. Higher tier memberships represented 21% of our member base in 2017, 23% in 2018, and now halfway through 2019 these members represent a full 27% of our membership base, the highest in our company's history. Our second strategic priority is to deliver value to get them shopping. Providing outstanding value to the families we have the privilege to serve is the fundamental commitment of our company. We continue to make significant investments in pricing. We monitor hundreds of competitors and collect over 50,000 data points per week to ensure that we provide members with outstanding savings. In this quarter, the gap between our prices and our grocery competitors continued to expand which we expect to deliver value over time. In addition to pricing, we are investing in other capabilities that deliver value to our members. Earlier this year, we launched the new promotional system that allows us to run offers that we couldn't offer previously. For the first time, we are able to provide percentage off savings as well as promotions that provide dollars off when buying multiple items. Through this system, we can engage with our members in innovative ways using personalized offers and targeted digitized promotions. In addition to providing new ways to deliver value to our members, this system enables us to more efficiently use our promotional dollars. As a result, we've been able to engage our suppliers to add programming where it makes sense while also reducing total promotional spend. We're still in the early stages of rolling out this capability and expect this to become a powerful way to deliver value to our members and drive sales with our vendor partners. Let me shift to our work on assortment. We began our assortment transformation several years ago with general merchandise. This growing area of our business remains the key to creating the treasure hunt that drives trips and engages members as we introduce new categories, products, and brands, all at outstanding value. For the second quarter, our GM comp sales were up 6%, reflecting a 10% two-year stacked comp and a continuation of the strong performance we have seen in the last three quarters. We saw a strong growth in the number of GM categories this quarter including seasonal gift cards, small appliances, tires, home textiles, and seasonal products such as air conditioners and patio sets. We're pleased with the recovery we saw in our seasonal performance in June and July, and we are well positioned from a seasonal inventory standpoint as we exited the quarter. Our grocery and perishable businesses remain key to delivering value to our members. The rainy weather in the first half of the quarter impacted a number of these categories related to outdoor entertainment and celebrations across our core markets. However, our focus on improved in-club execution continued to deliver growth in key areas including produce, bakery, meat, and rotisserie chicken. Fresh fruits and vegetables represented one of the fastest growing areas of our business in terms of the number of units sold. As with our seasonal items, we experienced much stronger sales in the second half of the quarter in this part of our business. We continue to work on transforming our assortment throughout the club with a focus on providing outstanding value to our members. Our test of prepared foods, while small is resonating well with our members. We have also expanded our international foods and Hispanic foods offerings in certain clubs. As we announced last quarter, we continue to simplify our assortment in a number of grocery categories. We are confident we can drive growth with a more focused assortment. Finally, the transformation of our optical business remains on track. We expect that optical while still quite small relative to the rest of our business will be a growth driver for us over the long term. Our next strategic priority is making it more convenient to shop at BJ's. We continue to improve our digital capabilities to make shopping more convenient for our members. As you may recall, we have invested in technology to let our members shop however and wherever they want. In the last 18 months, we have launched a revamped Web site, buy online pickup in club or BOPIC, same day delivery, and an app. Our app continues to resonate with our members as evidenced by our 4.7 star rating on the Apple Store. Approximately 15% of our membership base uses the app each month primarily to take advantage of our convenient digital coupons, which represent approximately 15% of total coupons redeemed in the quarter. Sales driven by our BOPIC and same-day grocery delivery, while still small relative to the rest of our business more than doubled this quarter compared to the prior year. Just over half of our BOPIC orders are general merchandise with strong sales in areas like TVs, furniture, and air conditioners. More recently we're encouraged by BOPIC sales growth in grocery and sundries including beverages, paper items, candy and snacks. Importantly, more than half of BOPIC shoppers purchase additional items once they're in the club. Our next day tire installation offering which allows members to order and schedule installations online continues to drive significant growth in our tire business. We know that members can save $100 to $150 when they purchase tires from us, and our investments have made this process even more convenient. This is an excellent example of how we can use our online platform to conveniently deliver value to members. I'm particularly proud of the team's efforts in building our growing digital business over the last 18 months we've invested in key talent and relentlessly focused on serving our members as we launched our omni-channel platform in a highly disciplined fashion. Finally, we plan to expand our strategic footprint. Our two clubs in eastern Michigan remain on track to open in Q4 ahead of the holiday season. In Q2, we launched an innovative marketing campaign in Michigan to introduce and differentiate BJ's in this new market. The campaign is driving awareness in the market and early memberships are quite encouraging. We remain on track to open 8 to 10 gas stations across the portfolio this year and have opened 3 so far. Our real estate pipeline is the strongest it has been in years. And today we're announcing plans to open a third club and gas station in eastern Michigan. The club in Chesterfield, Michigan will open early next year. We also plan to open a club and gas station in Pensacola, Florida around the end of this fiscal year. This will be our 33rd club in Florida. We know this market well and see Pensacola as a great fit for our business. Before I close the call and turn it over to Bob. I want to talk a bit about the work we've done which has given us significantly reduced tariff exposure versus our competitors. Several years ago, we started to diversify our global supply chain to reduce reliance on China by sourcing high-quality products from other markets in both Asia and Africa. As a very specific example, three years ago more than 90% of our internally sourced apparel came from China and Vietnam. This year that number is less than 10%. We also generally avoid sourcing food from China and now source only two food items from China in our portfolio. Chinese sourced goods represent 3% of our cost of sales this year, which we expect to decline slightly next year. This gives us a much smaller exposure to tariffs than many other retailers. And Bob will have more on this in his remarks. I'm pleased with how we performed in Q2. We finished the quarter on a strong note and remain optimistic about the opportunities ahead of us. Going forward, we'll continue to drive growth by focusing on our strategic priorities and invest in the company for the long term. With that, I'll turn the call over to Bob, who will review our results and outlook for the year in more detail. Bob?
Bob Eddy: Thanks, Chris. Good morning everyone. We are pleased with our second quarter results despite challenging weather conditions early in the quarter. We recovered nicely in the second half of the quarter and remain on track to deliver on our full year outlook. Importantly, the underlying fundamental drivers of our business remain strong and we continue to successfully execute against our strategic priorities. Let's turn to our results for the second quarter in a bit more detail. Net sales increased by 1.1% to $3.3 billion, comp sales increased by 0.6% including a negative 1% impact from sales of gasoline, the cost of which deflated versus the prior year period. Merchandise comp sales which exclude gasoline increased by 1.6% driven primarily by ticket and reflected a 3.6% two-year stack comp. As Chris mentioned, we experienced exceptionally rainy and cold weather across our markets in the first half of the quarter which impacted traffic. We did see a solid recovery in the second half of the quarter. We estimate that the weather impact versus last year was worth a bit more than half a point of comp sales. Let's turn to our comparable sales by division. The general merchandise business led our growth with a 6% comp reflecting a 10% through year stacked comp. We saw strong growth across various categories including gift cards, seasonal and toys. Summer seasonal categories such as patio sets and air conditioners were impacted by weather in the first half of the quarter, but recovered well as weather improved in the second half. This recovery illustrates the strength of our general merchandise assortment and the value we provide for our members. In our perishables division comps are flat for the quarter. A number of categories tied to outdoor entertainment and celebrations and early season cookouts got off to a slow start. Additionally, our results were impacted by deflation in dairy, promotional cadence in our frozen offerings. Notably units were up across our fresh produce and bakery businesses and we continue to improve our offering and execution. Comps in our edible and non-edible grocery divisions were up 1% and flat for the quarter respectively. We continue to focus on simplifying the assortment, adding new categories and increasing our private label offering in these two businesses as we work to enhance the value we deliver to our members. Membership fee income grew by 6% during the first quarter. A little more than half of this was driven by growth in numbers and the remainder by our membership fee increase. The continued growth in our MFI underscores our focus on adding new members, maintaining our historically high renewal rate and growing our higher tier membership programs. We are very pleased with our membership acquisition and retention results. Excluding the gasoline business, our merchandise gross margin rate increased by approximately 30 basis points over last year driven primarily by continued benefits from our procurement initiatives. This reflects a two-year stack improvement of approximately 110 basis points. Our CPI program remains strong and we see opportunities ahead to continue to drive merchandise gross margins through CPI and private label penetration. SG&A expenses were $511 million in the second quarter compared to $498 million in the prior year period after excluding $51 million of non-recurring expenses in the prior year period related to our IPO. This year-over-year increase in SG&A is primarily driven by investments in our capabilities and talent and in member services such as our optical business as we continue to transform our company for the long-term. Interest expense decreased to $27 million from $60 million a year ago primarily due to deleverage, the benefits of repricing our first lien term loan and ABL facilities in last year's third quarter and a 25 basis point reduction in the margin rate of our first lien debt as we achieved the step down in our agreement at the end of this year's first quarter. For the quarter, we recorded income tax expense of $18 million compared to $15 million income tax benefits in the prior year period. The variance between our normalized statutory tax rate of approximately 28% and the reported rate of approximately 25% for this quarter was driven primarily by $2 million in windfall tax benefit from stock options exercise. As a reminder, the $15 million Income Tax Benefit in the prior year was driven by a lower taxable income due to the stock compensation and other IPO-related charges and $9 million of windfall tax benefit. Adjusted net income in the second quarter was $55 million or $0.39 per share compared to $43 million and $0.31 per share in the prior year period reflecting 26% growth on a per share basis. Our press release includes a table that reconcile the GAAP net income to adjusted net income including on a per share basis. Adjusted EBITDA of $153 million reflects 7% growth over the prior year period and an acceleration from the growth we saw in the first quarter of this year. Moving now to the balance sheet, our inventory at the end of the quarter slightly increased to support new clubs and reflects a pull forward in inventory purchases ahead of tariffs, in addition our AP to inventory ratio which measures how much of our inventory are sold before we pay for it remains solid at 78%. Free cash flow for the year-to-date came at $127 million significantly ahead of our expectations. Our strong free cash flow continues to support that pay down. As a result, our funded net debt to adjusted EBITDA ratio is 2.9x at the end of the quarter. As we previously announced one of our two private equity sponsors CVC Capital Partners sold its remaining position during the second quarter. The company brought back 2.5 million of those shares for a total of $63.5 million. Our strong cash flows enabled us to achieve our near-term leverage targets despite this opportunistic purchase. Debt pay down will remain a priority. Now that our leverage ratio is 2.9x, we will work with our Board of Directors to determine appropriate and balanced capital allocation strategy. We expect to give you more color on this topic during our year-end earnings call. Let's now turn to our guidance for fiscal 2019 which remains consistent with the guidance provided on our last call. At a high level, our outlook continues to reflect our confidence in the underlying strength of our business and the benefits from continued investments in our strategic priorities. A few things to note, as Chris mentioned the company has been focused for several years on diversifying its global supply chain to reduce reliance on goods sourced from China. As a result our direct exposure to Chinese sourced projects is approximately 3% of our cost of sales. We expect to continue to reduce our exposure to levels below 3% in the coming year. We're implementing a variety of mitigation measures in order to reduce the risk associated with our direct exposure to tariffs. We currently believe that this risk is manageable and estimate the risk to our plan as a result of our direct exposure to good subject to tariffs to be $5 million in adjusted EBITDA in the second half of this year. As we navigate this changing landscape, our priority will always be to provide members with the value they have come to expect from us. As a reminder on the anticipated flow of profitability for the remainder of the year, we continue to expect adjusted EBITDA growth in the third quarter to be strong and anticipate Q4 adjusted EBITDA growth to be negatively impacted by a significant benefit from disruption in the gasoline market in last year's Q4. Lastly, our capital expenditure guidance remains $200 million for the year. This increase from the prior year was primarily driven by the acceleration in our expansion effort. To support our expansion while continuing to delever, we expect to enter into a sale leaseback transaction on two new clubs in eastern Michigan. Net of the proceeds from this transaction, we expect to spend approximately $150 million. In closing, we remain optimistic about the long-term health of our business. We continue to invest in our transformation to drive growth in sales and profitability and we look forward to delivering on our goals for fiscal 2019. Now, I will turn the call back over to the operator to begin the Q&A session. Lisa?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Robby Ohmes from Bank of America Merrill Lynch. Your line is open.
Robby Ohmes: Good morning guys. Two quick follow-up questions. The first is on the higher tier memberships that sound really great. Could you remind us what -- how different the higher tier memberships are in terms of total spend and frequency – just can you give us anything you can share with us on how they performed versus other members? And then, my other question was, if you could just give us an update on your newer stores like Somerville, et cetera, how they've been performing this quarter? Thanks.
Chris Baldwin: Thanks Robby. Good morning. I’ll take the questions in order. The higher tier memberships, I think, simply said are our best numbers whether they are -- in our rewards tier whether they pay additional membership fees in exchange for rewards back on their purchases or whether they are part of our co-brand card program or both. You can imagine that the lifetime value of these members increases as their engagement with us increases, and so someone that is in our rewards tier and has the co-brand card is our highest value member in terms of lifetime value by quite a wide margin. So, we have been pressing pretty hard on this program investing in technology at the front-end to gain these additional members that we've talked about 27% is a historically high number for us, it comes on the back of that technology where now we can bind people up at the register as opposed to just our membership desk. Simply said, these members visit us more often, buy more when they're with us. They renew at markedly higher rates. So, our company average renewal rate is 87%. Somebody that's in the rewards tier and has a co-brand card renews at somewhere around 99%. So, you can imagine these are our best members. We go out of our way to make their experiences as good as possible. In terms of the new clubs, we are pretty bullish on the overall performance of our club portfolio. You know that we've totally reinvented the process on how we locate new clubs and open new clubs, and I would say that the new crop of clubs we've opened in the last couple of years are generally pretty good. We're excited about our entry into Eastern Michigan. The advertising campaign that we have out there is totally new for us, uses a little bit of humor to introduce our brand to the Detroit market, and we're really investing heavily behind that. We’re looking for really good things out of the Detroit market.
Bob Eddy: Robby, just to add one thing, on both of those points and I will be glad to take your follow up, if you have it. I think on both dimensions, whether it's our credit card portfolio or our new clubs, our company is now playing to win, and the ability to take the right people, put them on the right assignments and deliver the performance they've delivered over the last several years is something that's encouraging. And it's -- I know we can't measure culture in the context of our financial performance, but I believe actually it's a really solid indicator of the company's shift in how we approach the opportunities we have in front of us. Did you have a follow up, Robby?
Robby Ohmes: Yes. My follow-up, which is actually on the -- can you update us the penetration of the credit card?
Chris Baldwin: Yes. We’ve disclosed the total premium memberships, of which credit cards are in there. And I'll reinforce what Bob said is that one of the primary benefits of the credit card to our members is our extra dime they get on fuel purchases. So, the 27 number is the number we talk about, it's 400 bps of expansion in penetration over the last couple of years, and the performance of the card is largely reflected in, not only the higher renewal rates but our ability to grow share and fuel, which we feel really good about.
Robby Ohmes: That's great. Thanks so much.
Chris Baldwin: Thanks Robby.
Operator: Our next question comes from the line of Edward Kelly from Wells Fargo. Your line is open.
Edward Kelly: Yes. Hi, guys. Good morning. First, I just wanted to ask you about the comp and the 50 basis point weather impact. It sounds like normalized comp maybe just over 2%. I'm just kind of curious, how did July actually look? And then, what are you seeing so far in August?
Chris Baldwin: Sure, Ed. I think you got it right. Bob made a comment about a little bit more than half of -- 50 bps of impact early in the quarter. So, think about the last two months of the quarter is above the midpoint and we feel good about how we are starting the back-to-school season, which is quite encouraging for us. We're kind of holding on to that run rate as we start. I'm not going to make a lot of specific comments about this quarter, but we feel good about the start.
Edward Kelly: Okay. And then the update on the tariff situation, obviously encouraging. Can you just clarify the -- when you say $5 million tariff risk to plan, I guess what's in guidance for tariffs at this point? I mean just kind of curious because prior quarter, I don't think the guidance really included full mitigation. So, I'm kind of curious as to how we should think about guidance today versus what you said last quarter with the tariff issue and whether I guess what I'm trying to ask you is underneath of all that, is the guidance actually going up?
Chris Baldwin: I guess the way I think about it that is, we're trying to give you enough context to think about the tariffs in the context of our whole plan, right? We only know what we know today, it could change at any moment. This is certainly an evolving and fluid topic out there. We're just trying to give people a sense of the max exposure that we see to the back half plan, right? Certainly 3% of our cost of sales in the back half is a larger number than 5 million and we've got very, very solid plans to mitigate the large degree of that. And we're continuing to work on the rest of it. So, I think we're just trying to give people a sense of how much our earnings could potentially vary and since the 5 million is within the overall range of our guidance, we feel like we can mitigate the whole thing.
Edward Kelly: Right. And then, just last one for you on share repurchase, so you bought back stock during the quarter, you're below your stated leverage target, I guess how should we think about the opportunity to repurchase stock going forward? You obviously generate a lot of cash flow. I know you talked about an update in Q4 of that, just kind of curious, is there anything else you could share around the companies view about use of cash in that area of leverage target?
Chris Baldwin: Yes. I think I covered that in the prepared remarks. And certainly, we will continue to pay down debt. We know that that will be a priority as we go forward getting under the 3x funded debt to adjusted EBITDA level was really a near-term target. If you look outside of our balance sheet into our peers everybody is a little bit lower than that. But 3 was our target coming out of the IPO and certainly happy to have met that much faster than we had anticipated. But, we'll continue to pay down debt. I think we'll work with our board as we go through the next few months to determine an overall capital allocation strategy as we go forward. I would anticipate that that over time it would include continued debt pay down as well as opportunistic share repurchases and potentially a dividend. We just haven't settled on any of the formulaic nature of that. So I don't want to make any headlines with it. But, I do think we are very cognizant of both our desire to continue to delever as well as to return capital to shareholders at appropriate levels.
Edward Kelly: Great. Thank you.
Chris Baldwin: Thank you, Ed.
Operator: Our next question comes from the line of Chuck Grom from Gordon Haskett. Your line is open.
Chuck Grom: Hey, guys. Good morning. Good quarter. So, if you could provide an update on the SKU [lattering] [ph] effort, and then looking at where you are on that journey? And then also, how we should be thinking about the opportunity in general merchandise front in the second half of the year. And I guess at what point do you think, you could start to see the mix of that business revert back to where you were say 5 to 10 years ago?
Chris Baldwin: Hey, Chuck. We've tried to be -- thanks for your question. Across SKU transformation we've tried to be clear with folks that we started several years ago. I just started my fifth year at BJ's and probably in year 1.5 and 2. We realized what an opportunity we have made -- we had in front of us in general merchandise. So, Lee Delaney and Chris DeSantis, who lead our commercial operations, Chris runs our general merchandise business among others. Have done a really terrific job of heightening our assortment and just getting better across the board. Our seasonal performance was quite good this quarter and we did it with materially less SKUs than we had in the year ago period. And that gives us confidence that we can continue to make progress. So, we have a variety of tests going on now. I've spoken publicly about our need to heighten our grocery assortments. We think about it as we start with a couple of clubs, go to a couple of dozen and go to more after that. So, it takes a little bit of time, but I'm willing to be criticized for the speed because I think getting this right is more important than doing this fast. So, we have some grocery tests in place now. We're optimizing prepared foods, which we've just expanded to a larger set of clubs, which we feel really good about given the rising level of family formation in the Hispanic community, we've improved our ethnic food offering, which we are starting to expand. And we're going to be continue to be rational and disciplined in how we make progress. We're going to avoid giving people a SKU target because that's not we -- we don't think that's the right answer. But, at this point, we feel good about where we are and we're going to continue to push on it grounded in our experience in general merchandise.
Chuck Grom: Okay, great. That's helpful. And then, I think another sort of bigger opportunity for you guys longer term is to recapture lapsed members. So, I know it's a focus for you, just like you've given some pretty good details today and some new statistics which is helpful. Just maybe you can frame that out for us where you are on that journey?
Chris Baldwin: I think it's still early. So, as you think about our -- one of the things that I'm really encouraged by is, when we -- build clubs in fairly dense markets. We've been able to attract members who don't see us as convenient as we would like them to see us because of our locations. I mean you live in a very densely populated as I have. So Carney, New Jersey is a place where we were able to attract a substantial amount of lapsed members because our next closest club, while it's only four or five miles as [indiscernible], a 25-minute drive given the traffic in that part of the geography. So, stay tuned on our -- we were probably heading down the path of a little bit more density and then less. And the other thing that I think is important is, we have a new data model that we've invested in that allows us to target members at the household level versus at the essentially the zip code level. And that will be coming on live later this year. And you've heard us speak about an emerging capability and personalization that's a big one for us that we're out yet with. But, it will continue to drive our ability to get to targets at a household level, which is a big part of how we're trying to run this business for the long-term.
Chuck Grom: Great. And then, just what was it -- for Bob on the gross margin line, you even talked about that the core being up 30 just wondering if there's any markdown pressure in the quarter to get your inventory levels to where they were. And then, looking ahead how we should be thinking about the core margins in the back half of the year particularly given this [Technical Difficulty] in the third quarter. Thanks.
Chris Baldwin: Look, I think we were pretty happy with 30 basis points of -- approximately 30 basis points of growth during the quarter given where we started the quarter from a sales perspective and our seasonal businesses we came out of the quarter clean from that standpoint. And I wouldn't say, we really had any inordinate amount of markdowns during the quarter. I think the merchandising and logistics teams here did a nice job managing inventory levels overall given the slow start. So, we're very happy with the inventory levels as we came out of the quarter. As you look forward through the rest of the year, we do see continued opportunity to grow our margin rate. We plan for the margin rate gains to accelerate a bit as we went through the year here given how we were lapping last year's rate increases and what we were seeing from a CPI program perspective and how those gains would layer in throughout the year. So we're still feeling like we should have strong gains as we go through the back half and gross margin rate and we will work hard towards that venture.
Chuck Grom: Thank you. Best of luck.
Chris Baldwin: Thanks Chuck.
Operator: Our next question comes from the line of Michael Montani from Evercore ISI. Your line is open.
Michael Montani: Hey guys. Good morning. Thanks for taking the question. Just wanted to ask first off on the gross margin side, if you could break out the particular benefit from the CPI initiative in the quarter? And then, also where the private label penetration is at currently and just how quickly that's growing? And then, I had a follow-up.
Bob Eddy: Hi, Mike. We don't really give all that much color beyond the gross margin rate numbers that we've talked through. CPI certainly has been the primary driver of our growth and gross margin rate throughout the past couple of years. And this quarter, we were talking about today it was no different. Certainly, there was some benefit from private label in there. But CPI is the biggest driver buyout by a wide margin. I believe penetration then stood at about 21% at the end of the quarter. We continue to work very hard to grow that business make sure that we are building the brands that our members like. And as we go through the SKU rationalization and continued CPI program that we view private label as an enabler of that entire project and you will see us do more things like we've done in the baby category where we took out one brand and left one brand and one private label that will -- in order to the benefit of the private label penetration as we go forward and provide outstanding value on high quality products to our members. So we're proud of where we are. We've got a whole lot of runway to go from our private label penetration perspective. If you look at our peers, their number start with a 3 not a 2. So, we've got a lot of room to go, but we're pretty proud of where we are so far.
Michael Montani: Okay. Thanks. And then, if I could, just any way to quantify or think about the magnitude of the fuel impact in terms of EPS for the quarter. And secondly, would just be around the efforts that you all have in place for personalization as well as kind of reassortment in grocery and multi-channel. Just wanted to dig in a little bit deeper into some of those company specific drivers and how we should think about those layering into the comp over time?
Bob Eddy: We don't give a whole lot of color on fuel profitability either Mike. It certainly was increasing profitability over last year during the quarter, but it wasn't the biggest driver by any stretch. You mentioned personalization as well. I guess what I would say to that as we continue to invest behind that capability, certainly the investment in the testing programs that we've put forward today would indicate that personalized offers are pretty much always better than just a blanket offer that goes out to folks. We certainly are taking advantage of that thought. This is a really long-term effort as we continue to figure out how best to both get members as Chris mentioned we will really start to personalize offers with this new data model that we're getting from a membership perspective and do some of the things that we've done from a perspective of getting folks in the club to shop and when they're in the club buying more. Those have already been effective as we do it. So, we'll continue to work down that road and layered in over time. I would expect you won't see too many gains from the new data model and membership until next year at the earliest as it goes online later in the year and personalization will only continue to build as we go throughout the next few years.
Michael Montani: Thank you and good luck.
Chris Baldwin: Thanks Mike.
Operator: Our next question comes from the line of Chris Mandeville from Jefferies. Your line is open.
Chris Mandeville: Hey. Good morning. Chris, I hate to belabor it, but just to go back to your comments about momentum heading into Q3. Is there anything that you can provide in terms of additional color around the reason outside of weather if there are any on why trends improved markedly in the back half of Q2? And based on the comments of momentum heading into the back half of this year, does that apply as well to the two-year stack on sales as well as EBITDA growth. Because if I recall correctly, you were simply expecting at the beginning of the year to see EBITDA growth in Q3 maybe up above Q1 results? But, maybe that's changed to some extent based on what you're seeing today?
Chris Baldwin: I'll let Bob comment on EBITDA. Let me make some comments on momentum. There is no question -- I mean the majority of people on the call probably live in the Northeast and you know well, the weather wasn't in -- we hate talking about weather, but the reality is, it's something we can't control. So, we wanted to be open about it. But, as the weather improved in our ongoing work we've done on improving the performance of the company continues to resonate well. And if you look Chris over a period of time, since we've been reporting the range of our top-line outcomes have been pretty consistent. There's not a lot of variation. And so, as you think about that, we feel really good about how we exited the quarter. We feel good about how we're starting. And in terms of EBITDA cadence Bob can probably make a few comments.
Bob Eddy: Yes, Chris, on EBITDA what I would say is to echo the prepared comments, we expect pretty strong growth in EBITDA in Q3 and I would say that's similar to the growth we saw in Q2 from a percentage perspective maybe a touch higher. And in Q4, we would expect lower growth or maybe even to go backwards and touch given what happened to last year's Q4 in the gasoline business that was such sort of a moment -- like in the gas business last year that it will be tough to comp that. Other than that, we haven't given too much color on specific numbers for the quarter.
Chris Mandeville: And then, just last follow-up being on the non-edible performance in the quarter, it looks as though the two-year stack is settled fairly decently. Maybe I missed it, but any reason as to why that was outside of just general weather dynamic?
Bob Eddy: I think its weather and some promotional cadence that we probably self-inflicted as we did some new promotional capabilities. We had some -- this is in terms of the cadence of offers at different points in time in the quarter. But, largely its traffic oriented early in the quarter and then we feel a lot better coming into the back half of the year.
Chris Mandeville: Great. That's [indiscernible]. Thanks.
Chris Baldwin: Thank you.
Operator: Our next question comes from the line of Peter Benedict from Baird. Your line is open 
Peter Benedict: Hi, guys. Good morning. First question, just on the MFI growth it sounds like from your comments, the underlying growth non-fee increase related was basically 3% to 4% pace over the first half of the year, first is that right? And then, how are you thinking about that as we look out over the second half of the year?
Bob Eddy: Yes. Hey Peter. I think you're exactly right. Certainly the prepared comments had a little over half of the growth, so that would get you right to 3% to 4%. We're very happy with that growth. As you know the effects of the fee increase weigh-in throughout the year, so we will get back to MFI really mirroring what's going on in -- just the member base in terms of number of members and in the complexion of the membership in terms of the fees that people are actually paying. So, we are pretty pleased. We saw nice increases in new members. Good performance in membership acquisition campaigns relative to the newer clubs that we have out there. We saw some really nice numbers from a renewal perspective during the quarter. I think Chris mentioned 60% of our folks almost are into the easy renewal program. I think that the numbers that Chris talked about from a higher tier membership perspective are incredibly impressive to jump out that much in penetration in six months is pretty unheard of. We certainly do that. We would get a nice big jump from the technology, we deployed at the front-end, but that was kind of surprising at least to me. So, I feel like we're going in the right direction from an MFI perspective and as we go through the back half, the drivers really will be no different. We'll certainly continue to work very hard to sign-up new members. Hopefully the momentum from a renewal perspective will continue and same comment on the higher tier memberships that's incredibly important as we go forward as I talked about earlier, those folks are our best members and our highest lifetime value members. So we will invest behind that program all day long.
Peter Benedict: Good to hear. Thanks for that. And then, just on the strategic consulting fees that you guys have had about, I think 11 million so far. I think that the guidance for the year is around 12. Just curious can you remind us what services are being provided there? And then I guess what -- I guess they're not needed going forward, but how are we thinking about this strategic consulting line? Thank you.
Chris Baldwin: Hey, Peter. It's Chris. It's largely done and the work was largely related to our CPI initiative, which we've insourced and we've been weaning off and we've done quite a bit of work with the external resources on personalization which we feel good about. And we've insourced all of those functions.
Peter Benedict: Okay. Terrific. Great. Thanks guys and good luck.
Chris Baldwin: Thanks Peter.
Operator: Our next question comes from the line of Karen Short from Barclays. Your line is open.
Karen Short: Hi. Thanks for taking my question. Just one housekeeping, then I had a couple other bigger picture. Can you just give us inflation in both food I guess and non-food in the quarter?
Bob Eddy: Good morning, Karen. Inflation, deflation was pretty flat on the whole business. Certainly, we saw some deflation within the food business particularly in dairy and then some offsetting inflation in other areas of the business to get the company more or less flat for the quarter.
Karen Short: Okay. And then, on the call you kind of gave that statistic in terms of the percent of sales that are coming from trial membership. I'm actually wondering if you could give a little color on and say what that person would have been and say 2016, 2017 timeframe?
Chris Baldwin: Sure, Karen. This is Chris. Since I made the comment let me make it. This is one where we wanted to be on the nose on this subject because of some of the reporting that's been done around this. That's just wrong. So that number was probably mid-single digits, five years ago. So, over the course of the last couple of years, we have all worked as a team to my point on playing a win of reducing the company's dependence and there's some headwind in that on trials and now its de minimis. So, one of the things we thought was important for investors to hear directly from us that anything anybody talks about on trials is just, it's kind of noise because it's so small. I'm not saying we're not going to do it again because we have invested in the capability to convert people who come into with a trial offer to convert them. We've materially improved our ability to convert them in the club, but it's tiny. So, we just wanted to be on the nose on that subject.
Karen Short: No. That's very helpful. Thanks.
Chris Baldwin: Sure. Thank you.
Karen Short: Can I ask one more question?
Chris Baldwin: Of course.
Karen Short: Sorry. On the promotions, I guess there was a lot of noise in terms of what you may or may not have been doing, I guess with vendors this quarter. But, you made some -- gave some color in terms of new promotional capabilities in terms of percent off and then dollars off on buying multiple items. Can you just give a little bit more color on that like what was required from the systems and a process perspective in terms of being able to suddenly to now have those capabilities. And then, you know what the reaction kind of was from the vendors, but also just from the customers?
Bob Eddy: Yes. We also wanted to be on point on that subject as well. Here's that -- I've been on both sides of this conversation, I spent a good chunk of my career as a supplier to retailers like BJ's, now I work at BJ's. So, I can see both sides of this. The company up until the last literally few months really promotional had the ability to do a $1 off, $2 off, $3 offer or $4 off coupon period. So as we have done a variety of -- we have made substantial investments in our IT capability to drive the long-term health of the business recognizing having sold brands to retailers like BJ's, $1, $2, $3 or $4 off coupons aren't always the appropriate way to merchandise a category. As an example, a lot of times you would do hair care products with buy shampoo, get conditioner free to dry trial. We could not do that systematically. As we have worked through that, our total promotional spend is actually down year-on-year and we're working with suppliers to make sure we redeploy that money as efficiently as possible. And we feel really good about our ability to be much more efficient with promotional spend. Let me apply that to -- you can apply that across categories including fuel where we're now -- we have a very efficient way to deploy fuel promotional dollars with certain items that yield to the member at $0.10 per gallon discount at the pump. We call it high octane. If you think about an average 12 gallon fill up, it's a dollar 20 coupon versus what used to be a $2, $3 or $4 dollar coupon. And when we do that it's a very efficient spend. So, we're going to make sure we're getting all of the promotional support we deserve. I also think from -- some of that noise came out there when we were quiet. But I would hope investors want us to be tough with suppliers. At the end of the day, we feel really good about what we've done and we will continue to feel really good about what we're doing and driving this as efficiently as possible is important part about how we're running the company.
Karen Short: Great. Thanks very much.
Chris Baldwin: Sure. Thank you.
Operator: Our next question comes from the line of Chuck Cerankosky from Northcoast Research. Your line is open.
Chuck Cerankosky: Good morning everyone. Could you talk about the SG&A line a little bit please and talk about what you leveraged during the quarter where that might have been some pressure points and what are some of the ongoing strategic projects that are baked into the number that are putting a little pressure on it?
Bob Eddy: Good morning, Chuck. I guess what I would say about SG&A is, we continue to invest in the company behind all the strategic initiatives. We've been speaking about this morning. Some of those are obviously more expensive than others and more impactful than others, but we believe in all of them that is driving SG&A up a little bit, but we wouldn't be investing those dollars if we didn't -- if we didn't believe in each of the programs. Some of the bigger ones certainly are targeting having the right people in the right places. So think about the discussion on insourcing CPI and personalization efforts that that has obviously caused us to add payroll here in our home office rather than pay consultants to help us. I think the overarching way that we think about it, Chuck is that, we are using the gains in CPI and private label and gross margins to fund the investment in the business for the long-term, just trying to create a bit of a flywheel for growth as we go forward. So, we'll continue to invest behind the programs that we feel strongly about and trying to figure out ways to pay for them going forward where we're showing the results and the comp as we've come off of declining comps from the past few years and it's a positive comps now for a number of quarters and we're growing profitability as well. So, if we can grow the top-line and the bottom-line, we'll continue to do what we're doing.
Chuck Cerankosky: Anyway to quantify that Bob? What sort of core and what strategic in the SG&A line?
Bob Eddy: Not really. I mean there's certainly some core increases in there as well. So, think about minimum wage pressure, I think for the year that was minimum wage adjustments are somewhere in the neighborhood of $10 million. But, there's some of that pressure rolling through, but we've tried to really approach the core inflationary pressures in the business with a methodology to try and offset them with other efficiencies. That isn't always possible, but our team as a whole has really flipped the company's culture a little bit from an inflationary cost increase perspective. So, as an example are our field organization has done a really nice job in our clubs and in the structure above the clubs trying to figure out ways to mitigate minimum wage and headcount increases in the field. So that we can give our members the best experience and give our investors the best return. We continue to do that going forward and balance that and investment and the requirement that we feel to give our investors the return that they deserve.
Chuck Cerankosky: All right. Thank you. Good luck in the second half.
Bob Eddy: Thanks, Chuck.
Operator: Our next question comes from the line of Laura Champine from Loop Capital. Your line is open.
Laura Champine: Good morning. Thanks for taking my question. It's a follow-up on your premium memberships. We've noted that in the clubs, there is some aggressive marketing of those upgrades. How different is that from what you've done historically and how do you get comfort from -- comfort in the thought that those premium members will perform as well as they have historically, if they may not be organic without those promotions to get them to sign on for the upgrade?
Bob Eddy: Hi, Laura. Good morning. Thanks for the question. Certainly, we started with a simple thought that the premium memberships are incredibly valuable as I stated earlier those members are our best ones. They have our highest lifetime value by orders of magnitude. So, we will continue to invest behind that program. The programs we've been putting in place to do that start frankly with the people behind the desk. We've made tremendous investments in the past year. This runs towards Chuck's SG&A comment on the last question too, getting the right people behind the desk. Getting them trained the right way, making sure that we are presenting the right image to our members and prospective members and making sure that those folks know how to best talk to our members about the value of the premium tier membership. Then comes technology, getting folks to sign-up or renew at the register. So, think simply again trying to unify behind a simple thought. We have 120-ish million transactions a year about, 10 million at their membership desk and 110 million at the register. So, if we can harness the power of that throughput at the register to grab more premium memberships, we will do so. And the technology we've deployed allows us to do that. So, that's a big one. And we will -- we constantly try and build the value of those programs over time as well. So, we will look in the future to try and do that as we go forward. But, it all starts with the people. We've got to get the right folks at the desk saying the right things to our members and certainly our team in the field has done an outstanding job in doing that.
Laura Champine: Got it. Thank you.
Operator: And our final question today comes from the line of Christopher Horvers from JPMorgan. Your line is open.
Christopher Horvers: Thanks. Made it in under the bar. So, my question for you is, as you think about the back half guide, how are you thinking about the general merchandise category versus the perishables and edibles -- the other -- those other consumables categories. Are you expecting acceleration in the non gen March categories, or do you expect gen march to continue to break stacks? Just curious how you're planning the underlying business?
Chris Baldwin: Hey, Chris. I want to be really thoughtful about how we talk about guidance here because we feel good about the first half of the year and we feel good about the full year guidance we've provided. And that and we're going to just stick by that. In terms of general merchandise, the work that Lee and Chris DeSantis and the whole team have done to transform our GM business is foundational to the transformation. I want to maybe slightly correct what I said earlier by, we feel really good about the future and our ability to improve our business with a more efficient assortment. I probably said materially lower, it's lower, but not materially lower particularly in our core business in terms of number of SKUs. And as we think about whether it's apparel, or our TV business going into the back half and the expansion of our credit card business where people get rewards for buying big tickets. We feel pretty good about that and we expect it to continue to deliver improvement in the rest of our business as well. So overall, we feel good about guidance overall for the full year. The tariff situation was small for us, creates uncertainty for all retailers that we think we can manage. And we expect to continue to see improvement which is reflected in our full year guidance. Bob, you want to add anything to that.
Bob Eddy: No. I would have said much of the same.
Christopher Horvers: Understood. Best of luck. Thanks guys.
Bob Eddy: Thanks Chris.
Operator: I'll now turn to the presenters for closing remarks.
Chris Baldwin: Thank you all for your support and we look forward to seeing you on the road. We'll be out quite often in the next couple of weeks and we look forward to seeing as many of you as possible. Thank you for your time.
Operator: This concludes today's conference call. You may now disconnect.